Beatrix Martinez: Thank you, Risa. Thank you for joining us on our Second Quarter 2022 Earnings Conference Call, with Pascal Daloz, Chief Operating Officer; and Rouven Bergmann, Chief Financial Officer. Dassault Systèmes results are prepared in accordance with IFRS. Most of the financial figures discussed on this conference call are on a non-IFRS basis, with proven revenue growth rates in constant currencies, unless otherwise noted. Some of our comments on this call contain forward-looking statements that could differ materially from actual results. Please refer to today's press release and the Risk Factors section of our 2021 Universal Registration Document. All earnings materials are available on our website, and these prepared remarks will be available shortly after this call. I would now like to introduce Pascal Daloz.
Pascal Daloz: Thank you Beatrix. Good morning, good afternoon to all of you. Thank you for joining us. Real pleasure to be with you today. Bernard will not be joining us for the second quarter today. He was recently presented at our Capital Market Day and attending our governance road show, but be sure he will be back with us to share his vision and perspective on the industry in the future. So I will have the pleasure with Rouven to do the call and to answer to your questions. Let's start. I think we are pleased with the Q2 results. I think we delivered a strong second quarter and half year results, putting us on the trajectory to achieve 2022 objectives. Our good performance was driven by a broad-based growth across geographies, product lines and industry. And I think we have demonstrated once again the resilience of our strategy against the challenging macroeconomic and geopolitical backdrop, with an impact from Russia and China. So total revenue grew organically 11%, with both subscription and support and license up double digits. Earnings per share increased 21% to €0.26, outperforming our objectives and we continue to support our long-term growth initiatives with headcount increased 8% overall and 10% in research and development. For our full year 2022 objectives, we are reaffirming our revenue growth target of 9% to 10% at constant currency, factoring in some volatility in license revenue, driven specifically by China. We increased also our EPS objective to 14% to 16% growth from 9% to 11% previously. I think it's clear from our results that our clients continue to invest in innovation, both to address challenges posed by the current environment, but as well as to prepare for the future. And I think our industry solution are really mission-critical to make it happen. Rouven will discuss more in detail our financial results later in the call. Now I would like to share some perspective on our strategy as well as review our operating performance. As you know from our recent Capital Market Day, we have a significant ambition for our next horizon to 2040. And as in the past when we look at the future, we begin laying out the foundation for our success. So if you remember, in 2012, we unveiled our vision for the experienced economy and shift from product to experiences. I think you have seen this validated by the transition to sustainable mobility experience, for example. But we also introduced our 3DEXPERIENCE platform to start preparing them to support our clients with differentiated technology today. In 2020, following the MEDIDATA acquisition, we repositioned the company along the three sectors of the Economy, Manufacturing Industries, Life Science & Healthcare and Infrastructure & Cities and we also announced our extension of the virtual twin from things to life. In 2022, we are introducing the circularity within our 3DEXPERIENCE platform. We call it, IF WE look. It represents a true paradigm shift in our strategy. Why now? I think it's because the experience economy and the circular economy are converging and this will mark the coming decades. As we look to our next horizons, industry will no longer develop products, but sustainable experiences centered around the consumer, patients and citizens. And we believe the experience economic goes hand by [ph] hand with circularity as it requires designing the entire lifecycle upstream, integrating use with end of life. And circularity is also about frugality, using only what's necessary and appreciating all the things created by human kind will have an end. Whatever is the raw materials that components could be repurposed, reused and recycled. This will revolutionize, sorry, the design and open up significant new possibility, we cannot yet imagine. Our 3DEXPERIENCE if we look, in fact, connect value creations with value experience to cover the full experience life cycle. This allows innovator to participate to the recycling of the product of their design and manufacturing to quantify, the environment impacts and optimize circularity. As a consequence, our 3DEXPERIENCE platform is not only a way to be game changer and displays the competitive landscape. It's also a multiplier, a multiplier to expand the value proposal and to expand the audiences, by connecting people data and ideas from industry professionals, the one we are serving for the last 40 years, to all the business communities and ultimately to the consumer patient and citizens. And this will be our next franchise. Now we have been talking about the next 20 years. Let's come back, to how we are helping the client in the presence today. Today, a challenging environment, whatever it's inflation to raw material shortage and meeting sustainability imperatives, I think reveals the value and the mission-critical nature of the industry solutions we provide to the market. Our strong customer adoption, across all the three sectors of the economy, offers many proof points this quarter. And I want to share with you some examples. Let's start, with the consumer industry. We are expanding our value propositions, to new audiences reaching the business community. And I think the, virtual twin experience as a means of operations could help specifically the retailers, to increase efficiency, resiliency and meet sustainability imperatives.  This quarter, we have established a new partnership with ASDA, one of the Britain largest retailers serving 18 million people and 98% of the UK homes every week. ASDA has chosen to utilize DELMIA Quintiq, to rethink the entire value network, to increase operational efficiency, saving millions, capitalized on those efficiency gains to offset inflation and lower consumer prices. And I think this is very different compared, to what Walmart did. As you have seen, they have been hurt by these inflations. And we see more and more retailers, willing to do savings in order to maintain low price for the consumer. Improve the customer experiences, as well with the last mile delivery, and to advance its sustainability call by reducing the empty mileage. I think, we are pleased to support ASDA and we will continue to build upon significant legacy. If we zoom in Life Sciences, as you see, we have been the pioneering to incredible innovations over the last 20 years, changing the game for many of our clients. MEDIDATA is the number one, trusted partner and the gold standard in clinical trials. Without our investment, we would not have electronic data capture as a standard for all clinical trials, with the decentralized trials becoming the new best practice. We will not have synthetic control arm, as a groundbreaking way to speed up dividend generation and time to market. I think without these innovations, our client will not have been able to develop the COVID vaccine in a record time. But the pandemic exposed, also many vulnerability within these industries. Remember, it took only one year to develop the vaccines, but it took more than two years to manufacture it at scale. And this industry was not capable of producing different therapeutics in a short time of reasons. So addressing these issues, is becoming a paramount and will require significant reconfiguration and investment in the coming decades. This quarter, we are expanding our long-standing partnership with Sanofi and Sanofi has decided to adopt the 3DEXPERIENCE, Made To Cure for Biopharma solutions to enable modular and more flexible manufacturing. I think our technology will help Sanofi develop, and deliver vaccine at the pandemic speed. And it will also accelerate the new facility and drug launches, enabling the production of multiple vaccine concurrently. In addition Sanofi will also leverage our technology to reduce water consumption, which is a big topic in these industries, supporting its net-zero carbon objectives. So we look forward to continuing to support Sanofi's effort to improve patient outcomes. Thanks and I believe in fact only Dassault Systèmes has the innovation technology and scale to provide the life science sector with end-to-end solutions. And we hope our work with Sanofi serves as a catalyst to accelerate industry adoption and advance the patient journey. Now turning to transportation and mobility. There is a rapid transformation to sustainable mobility experience underway, requiring a tremendous amount of science across many disciplines. And again I think it's something only Dassault Systèmes can provide at scale. A good example is Hopium with H, right? It's a start-up funding by personal careers and they have designed an innovative fuel cells that transform air and hydrogen into energy emitting nothing but water, while at the same time reaching a speed of 230 kilometers per hour, which is the performance of the sport cars, traveling for more than 1,000 kilometers similar to a long-haul truck; and refilling in three minutes, which is far less than your fold. So if you combine all those contradictions to a certain extent you need a lot of science to make it happen. And I think that's what Hopium they reach with deploying the 3DEXPERIENCE platform solution on the cloud. And they have been able to create their first prototype in only eight months. This example are really a testimony of the mission-critical nature of our industry solutions in addressing resiliency on one hand and sustainability as well as to provide value we bring to our relationships. Now shifting gears let's turn to the review of our operational performance. I'll start -- we will start with the geo. The Americas grew 8% during this quarter, driven by a strong performance in subscriptions. From an industry perspective, life sciences and industrial equipment were key contributors to the performance. Europe accelerated to 13% growth in Q2 and performance was broad-based. Northern Europe, France, Southern Europe delivered an excellent result driven by transportation and mobility as well as aerospace. Asia Pacific rose 13% this quarter, showing strong resilience in the face of the China COVID-19 restrictions. And we were expecting lockdown to at least a few weeks. But instead they have lasted months. So, nevertheless, I think we have been able to largely offset this with Japan, South Asia Pacific, and India growing double digits. Just to be noticed that China despite the lockdown grew low single digit, and if you remember we had a strong comparison base compared to last year. Now zooming on the product line performance. Industrial Innovation software revenue rose 11%. And again the performance was really broad-based across multiple brands CATIA, ENOVIA, DELMIA and NETVIBES grew double digits. CATIA -- to be noticed also that CATIA cyber system demonstrated excellent performance against this quarter, reflecting the differentiated value proposal of our technology. DELMIA also benefited from a strong interest in manufacturing transformation as clients seek to increase efficiency, resiliency and connect operation with the platform approach. In life sciences revenue grew 13%. In life sciences, MEDIDATA maintained their velocity growing 15% on the back of a high comparison base also and continue to experience strong momentum across its product portfolio, including MEDIDATA Array, MEDIDATA AI and MEDIDATA Patient Cloud, as well as across the end markets, including pharma and biotech, as well as contract research organizations. MEDIDATA also experienced a good traction in medical devices, which is an expansion we are doing since the merger with Dassault Systèmes. And also in the mid-market in Europe where if you remember the footprint was not the same compared to North America. And I think this is demonstrating the durability of the MEDIDATA growth profile for the future. More broadly if we look at the Life Sciences engagement the dedicated channel we have built in order to address the sector at large with all the solutions we have. I think we have -- we continue to gain 3DEXPERIENCE references wins. And I think Sanofi is a good example of this. Moving to mainstream innovations, Software revenue increased 8% compared to 27% growth in Q2 last year. And I think SOLIDWORKS grew middle digits -- mid-single digits, sorry against a strong baseline effect of 25% growth last year. And SOLIDWORKS was really the one being impacted by the China COVID-19 restrictions which have lasted longer than expected. I think we view this as transitory issues. And when the situation normalizes we expect to return to the trend line growth which is between 8%, to 9%. Zooming on Centric PLM, we continue to expand the strong momentum with revenue increasing high-double digits. And I think Centric PLM accelerates innovation and time to market by improving the quality and the organization. And this is a mission critical for consumer companies. And looking forward, I think we have significant opportunity to leverage Centric's strong momentum by reaching new audiences and providing new value proposal, if you remember Centric PLM starting in the domain of the fashion. And now we are expanding into new industries such as food and beverage cosmetics and personal care. Historically, the Centric customer base were primarily large international brand, while today the company is having a good early success with retailers and SMBs. And additionally our strategy is to expand Centric PLM value proposal beyond collection management to business planning for example and analytics as well as e-Commerce. Because the product differential is becoming if you want the source -- the primary source for marketing materials when we are thinking about e-commerce. Ultimately, there are numerous vector of growth to drive significant expansion for Centric PLM and well into the future. As we are continuing to invest in innovation for the benefit of our customers, organically, we also continue to do it through acquisitions. And for this quarter we are pleased to welcome a start-up. We acquired a French-based French company leading players in connecting VR on the shopfloor and in the field. And this is a nice complement to the DELMIA offering to accelerate the expansion into the quality control compliance and the work instructions. The name of the company is IOTA. The combined in fact advanced interactive 3D technology with augmented reality and the AI technology with a data-centric approach incorporating the real world dividends whatever it's coming from the machine or the connected equipment. The company's solutions utilize virtual technology in the field kind of industrial metaverse if you want to maximize the traceability and the productivity throughout the complex manufacturing, inspection and certification and maintenance processes. While a small startup with €2 million in revenue, total offer a proven technology, a great team and an impressive customer roster. So I think we are delighted to have IOTA joining us and welcome the team on board. I think now it's time for me to hand over the presentation to Rouven, to discuss our financial performance and 2022 objectives. Rouven, the floor is yours.
Rouven Bergmann: Thank you, Pascal and hello everyone. It's great to speak to you today. As you heard from Pascal, we had an excellent second quarter across the board. This demonstrates the strength and durability of our business model. It also gives us the confidence to reaffirm our 2022 objectives for the year. While at the same time, we also acknowledge the macroeconomic uncertainty. In the second quarter we delivered on the key initiatives, which we communicated to you during our Capital Market Day. First we saw an acceleration of recurring revenue growth to double-digits, driving overall software revenue growth of 11%, and we delivered strong earnings growth with EPS up over 20% which was well supported by a 32% operating margin in the middle of our targeted range. Now let's take a closer look at the proof points, with a review of our Q2 non-IFRS results. Total revenue grew 11% year-over-year and €15 million above the midpoint of our guidance. This was driven by accelerating recurring revenue growth of 10% above the high-end of our guidance. Recurring revenue represented 78% of software revenue during the period. The license revenue increased solid double-digits at 14% this quarter. The license growth was negatively impacted by China's COVID-19 restrictions, as Pascal already pointed out to. And coming into this quarter, we initially expected this confinement to last up to a few weeks. However, the lockdown of over two months attributed about three percentage points of headwind to the license growth. Despite this, we delivered a good performance, highlighting the resiliency of our model. Contributing to the overall strong momentum, our services revenue rose 14% also above our targeted corridor. Now let me comment on our business model evolution as reflected in our 3DEXPERIENCE and cloud growth momentum. The growing list of customers both new entrants and incumbents are expanding their relationships with Dassault Systems. 3DEXPERIENCE and cloud are critical for enabling resiliency and for helping clients to scale rapidly as they capitalize on the benefits of adopting all our domains. This is reflected in our second quarter results. We continue to see strong momentum in 3DEXPERIENCE, with revenue growing 30% year-over-year to a share of 33% of software revenue, an increase of four points relative to last year. Our cloud revenue rose 23%, driven by continued strength in life sciences and 3DEXPERIENCE. Cloud now accounts for 22% of our software revenue, up over two points versus last year as we see large customers in core industries such as air and defense, transportation and mobility and industrial equipment deploying 3DEXPERIENCE cloud solutions. Now let's discuss our operating margin performance as well as objective. We reported an operating margin of 32% in the center of our targeted range. When factoring in the over-achievement in revenue, the net impact of higher expenses versus guidance was only 10 basis points. Relative to last year, expenses were up 12%, reflecting our confidence to continue to invest in our long-term growth opportunity. Indeed, we hired over 1,200 people during the quarter, representing more than 420 net new team members. We grew headcount by 8% overall and 10% within R&D versus last year. These investments will allow us to further expand our reach and capabilities from managing transactions to driving transformations with our clients when we engage with 3DEXPERIENCE platform MEDIDATA and CENTRIC PLM. We also saw more active travel and marketing activity compared to a lower 2021 base of cost, which accounted for about 20% of the increase. So as you can see, we are investing in growth. Our subscription and cloud revenues are growing at the highest rate and we are not compromising our profitability. Now turning to EPS. For the second quarter, we delivered strong earnings per share growth of 21% to €0.26, as reported above the objective range of 11% to 16% growth. The growth in EPS benefited this quarter from a more favorable FX conversion, driven by the strengthening of the US dollar versus euro with an impact of €0.11, a higher operating income contributing €0.02 and the lower tax rate contributing €0.02 as well. Let me briefly comment on the non-IFRS tax rate for the quarter of 20.8% versus our guidance of 21.2% highlighting that we continue to benefit from the higher PD tax deductions in the United States. I'd also like to comment briefly on the reconciliation to IFRS EPS. As you know at the end of May this year, the long-standing tax dispute covering the fiscal years of 2008 to 2013 was concluded by the ruling of the French high court, resulting in a one-time tax charge of €145 million. There was no cash impact this quarter nor will there be any in 2022, as all payments were made between the years 2014 and 2020. This dispute has been reported in our financial statements since 2014 and is now closed. Now turning to cash flow and balance sheet items. Cash and cash equivalents totaled €3.157 billion compared to €2.979 billion at the end of last year, an increase of €178 million. Our net financial debt, at June 30, 2022 decreased by €405 million to €485 million, compared to €889 million at December 31, 2021. This puts us well ahead of our schedule on our deleveraging objective. Now let me provide some additional color of what's driving our cash position this quarter. First, cash from operations totaled €1.048 billion for the first six months, an increase of 1% relative to last year on the back of a very strong comparison base. Remember, last year was up 21%. Just looking at Q2, operating cash flow was up, a strong 7% year-over-year. This quarter cash from operations was used for treasury stock repurchase of €75 million contributing to the €378 million for the first six months. And we paid the dividend to our shareholders of €224 million. Lastly, we had a benefit of €116 million from FX with €19 million coming from Q2 only. Now let me quickly transition to some key drivers of the second quarter operating cash flow performance. First, net income adjusted for non-cash items was up 32%. We saw an increase in contract liabilities, which reflects our business activity in line with recurring revenue growth at 10% constant currency. The decrease in income tax payable is driven by higher tax payments in the US, related to the mandatory capitalization of R&D expenses for tax purposes only. Consequently, the deductibility of these expenses will be delayed resulting in an increase of cash taxes we pay. Lastly, the decrease in accrued compensation is due to lower social charges on stock-based compensation expenses, from a lower share price in Q2 2022 versus the same time last year. Now let's turn to our fiscal 2022 objectives. As we look to the remainder of the year, we feel optimistic about our business momentum. At the same time, we are mindful of the macroeconomic backdrop, characterized by some mixed sentiment. In this context, it's important to highlight that within our full year objective, we already offset the revenue impact from the wind down of operations in Russia, which accounts for about €21 million of revenue for the year. This we discussed in Q1. Now taking all of this into account, we are reaffirming our 2022 total revenue growth objective of 9% to 10% and also reflect a higher absolute range of now €5.485 billion to €5.535 billion versus €5.355 billion to €5.405 billion previously, incorporating an update to the US dollar rate from 1.14 to 1.10 for the remainder of 2022. This adjustment to our currency assumption along with the second quarter FX benefit has an impact of about €123 million on our total revenue objective. Now in addition to this, we are also reflecting half of the Q2 overperformance. And the remainder is contributing to derisk the rest of the year, marked by the increasing uncertainty, more specifically in China. We are reflecting this adjustment mainly in the outlook in license growth, which we now project at 9% to 11% for the full year growth. Next, let me turn to the operating margin. We are reconfirming our full year objective of 33.4% to 33.7%, reflecting our continued investment in our long-term growth initiatives, including maintaining our momentum in achieving our hiring objectives. Now turning to EPS. We are raising our 2022 diluted EPS objective to 14% to 16% growth as reported, reaching €1.08 to €1.10. This compares to 9% to 11% growth, reaching €1.04 to €1.06 previously. The delta versus our previous target is driven by a €0.026 FX benefit, 9% to 11% growth, reaching €1.04 to €1.06 previously. The delta versus our previous target is driven by a €0.026 FX benefit, €0.04 revenue impact offset by €0.07 from an increase in operating expenditures. And finally, a €0.021 benefit from a lower tax rate. And the updated tax rate reflects the higher PD tax deduction for the second half of the year in the US, as well as a lower tax rate in France contributing -- both contributing approximately a similar way.  Now let's review our 2022 objectives by revenue type. Software revenue growth is reaffirmed at 9% to 10%. Recurring revenue growth is reaffirmed at around 9%. And as mentioned licenses and other software revenue growth is now at 9% to 11% from the 10% to 12% previously for the reasons I outlined before. Services revenue is targeted at 8% to 10% growth. Before closing, let me briefly share our objectives for the third quarter. Total revenue and software revenue growth of 8% to 10% with recurring revenue at approximately 9%, license revenue in the range of 6% to 10% and services revenue up 11% to 13%. The operating margin of 31.1% to 31.8% and diluted EPS growth of 6% to 11% to €0.24 -- to a range of €0.24 to €0.25.  So now let me conclude my section. In conclusion for the full year 2022, we reaffirm our growth objectives for total and software revenue of 9% to 10% ex-FX growth driven by good momentum in subscription and cloud revenue growth. We raised our outlook for total revenue, reflecting half of the Q2 overperformance in our full year objective and at the same time de-risk some of the macro factors, specifically adjusting the license growth attributed to the volatility in China.  Finally, we raised our EPS target to reach now 14% to 16% growth. We expect a solid third quarter and we look forward to keeping you informed about our progress over the second half of the year.  Thank you and back to you Pascal. 
Pascal Daloz: Thank you, Rouven. Thank you also for the confidence you put into the guidance. If we step back a little bit from the quarter, I think what could we say? We can probably continue to say that the clients they are continuing to invest in innovation to both address today's current challenges, but as well as to prepare for the future. And resiliency and sustainability are really the top priorities for many of them and our industry solutions are mission critical to make it happen. I think we also noticed that we have significant and durable competitive advantages to leverage in each of the three sectors of the economy we serve. And last, but not least you have seen during the Capital Market Day, we have a vision for 2040. And we are laying the foundation for our success well in advance.  Finally, I think I want to take the opportunity to thank both our clients for their continued trust, as well as our team around the world for their passion and their dedication to our successes. Before to conclude, I want to say a few words about my friend Francois Jose. And I want to congratulate him because he will retire next year. And Beatrix, I want also to congratulate you on your promotions. You are leading the Investor Relations now.  Just a few words for Francois and I'm sure all of you, you will be with me on this. Francois is with us for the past 30 years. And you did a lot to build the trust and the integrity with the investor community. And you did it with your style which is the kindness, the humor and also a lot of disciplines. Maybe you are not seeing on your side, but I can tell you to -- this is really happening.  And I think again for everything I really want to thank you. It was really a pleasure to work with you. And when I took my CFO position a few years ago, you were really the one guiding me just to avoid some mistakes. So, Beatrix no need to welcome you onboard because you are with us for a long time and you have been working with Francois together for several years. I think we are lucky to have you leading the Investor Relations. And no doubt she will continue what Francois did. So, I think Rouven I are happy and ready to take your questions.  Back to you operator.
Operator: [Operator Instructions] The first questions come from the line of Amit Harchandani from Citi. Please ask your question.
Amit Harchandani: Thank you. Good afternoon. Amit Harchandani from Citi. I've got two questions, if I may. My first question goes to the topic of visibility that you may have in terms of the deals within your pipeline, but clearly a lot of commentary out there about macro lending sales cycles. And I was curious to know when you look at the deals yourself what are some of the KPIs? What are some of the metrics that you focus on in terms of gauging whether these deals are going to close or not? And to what extent do you look at the visibility today in comparison to say a quarter ago and whether that gives you confidence for the rest of this year, or does the visibility even extend into subsequent years? So that would be my first question. And then I have a second one. 
Pascal Daloz: Okay. If you are okay Rouven, I will take the first one. It's a good question. You know, to assess the pipeline we have a methodology. We call it value engagement, which is nothing more than a stage gate. So at each stage we have a certain deliverables we need to produce. And that's basically the way we assess the pipelines. What could I say related to the pipeline? If I compare to last year, we have exactly the same level of maturity. There is no improvement neither decrease of the level of maturity of the pipe. We have not seen large projects or large program decisions being postponed. We had some discussion with specifically North American customers where they were probably -- they are the one anticipating the recession. And they had the discussion -- the internal discussion how they should put the priority for the second half of the year in terms of investment. And to be noted that what we do is for many of them mission-critical and that's the reason why it's still part of the priority. To give you a proof of what I'm saying is if you look at the performance of the direct sales force, which is really the one handle the large accounts and the large contracts we grew by more than 15% this quarter. So clearly we are seeing good traction. And the vast majority of the 3DEXPERIENCE platform projects -- Rouven was highlighting is really coming from this. So to a certain extent, I would say we still have this visibility. And again what we do is usually between 9 months to 12 months sales cycle for the vast majority of the solutions we are promoting. So I think, we have enough visibility to have a certain level of confidence for the rest of the year. Speaking about the industry, which is maybe also another angle to look at it. I was checking if the pipeline was weighted the same way compared to last year. I think we are seeing an equivalent in terms of weight on the Aerospace & Defense knowing that this industry is having a good cycle. The cycle is driven by the defense and space, but we see more and more of the commercial being back. The last week we had the Borough exhibition the largest UK air show. And we had an ability to meet with many of our customers including Boeing and Airbus. And you have seen all of them they publicitize the fact that their order book is going back to what it used to be. And clearly they have the visibility to invest and also to drive the supply chain with it, which is something extremely important. The auto sector is probably the one where I had some cautiousness, right? But if I compare to last year, the weight is almost the same. So there is -- we are not overexposed. And the reality is in fact this industry despite the volume dropping the price increase is giving the ability for them to -- the price increase on the vehicles is giving for them the margins and the ability to continue to invest to transition from the thermic to the electrical engine of the autonomous car. And this is really driving the cycle for us. This is reflected by the way in the good performance you have with CATIA cyber system, because there is no way you can do an electrification of the car without these product lines. Life Sciences is still going extremely well. Still, representing 22%, 23% of the pipeline which is consistent with the revenue. And we have a good visibility and the renewal we did is also giving some room to expand. So to a certain extent, if I look at the major industry, we serve the visibility is enough. Where we took some cautiousness on the bullet on the licenses is really on the SOLIDWORKS the mainstream markets. And it's really coming from China, because when you have a consignment the resellers usually cannot visit anymore their customers. And especially in Asia, it's a business you still do face-to-face, so that's the reason why we took some few millions cautiousness in the guidance. That's what I can say. You have a second question right, Amit?
Amit Harchandani: Yes. Yes, I do. Thank you for the comprehensive answer to the first one. For the second one, I was looking at growth in North America or Americas more broadly. And I was then looking at the growth in your Life Sciences business, which my understanding is majority does come from Americas. So if I'm trying to look at growth within Americas outside life sciences, it seems relatively muted in the second quarter and indeed also appears to be the case for the first quarter. So if you could please confirm, if my understanding is correct? And if so what would explain that kind of trajectory outside life sciences, within the Americas and specifically North America? Thank you.
Rouven Bergmann: Yeah, Amit let me start. And of course, Pascal, please add your point of view as well. So maybe in order to answer your question, let's decompose this a little bit and give you a better understanding of the momentum of MEDIDATA. Traditionally, it's – the growth has been in the United States. But over the last two years, the growth contribution has really picked up outside the United States. Pascal mentioned the success we are having in European – Europe in the European mid-market. As well as in large pharma, you saw the Sanofi example that we were talking about. So MEDIDATA has really picked up steam and picked up momentum in Europe and in Asia. China has always been an engine of growth, but that has further accelerated. Japan has started to become back to growth, which was for many years MEDIDATA more flat and hard for us to grow. So this is progressing. So if you put this together, I would say, the US market has been more mature and already more better served at MEDIDATA. We continue to grow with customers like Moderna. This is one that we developed throughout the pandemic to one of our largest clients today. But we have these success stories also outside the United States. So I do not want you to have the impression that the growth of MEDIDATA is more pointed towards North America or the Americas than to other regions. Right now, it's really coming more from outside the United States and Americas. I think, if I look at – we take this to the site, and I look at the performance of our Dassault Systems, North America business outside of MEDIDATA. We see really good performance in our ability to renew and expand with large clients. So we are increasing our footprint in the auto sector, as well as in industrial equipment. We, of course know, our success with Boeing to name a few. So I think our business in North America has continued to grow, at around double digits for software revenue. And it's always a mix of the license part and the subscription part. And I think, this leads me to the third point of the answer to your question is we see – since a few quarters now, a stronger and stronger growth in the subscription revenue versus the upfront license revenue, which has an impact on the total software revenue, because if you are able to recognize the revenue upfront versus you recognize it ratably over a period of time it has an impact on your growth profile. But nevertheless we have been growing the Americas, I would say in the range between 8% to 10-plus percent on software -- in aggregate between software support and subscriptions. I hope this gives you a better understanding of how we see North America and what's the different contributors of growth.
Amit Harchandani : It does. Thank you very much.
Rouven Bergmann : Thank you.
Operator: We are going to proceed with the next question. We have the next question coming from the line of Jay Vleeschhouwer from Griffin Securities. Please ask your question.
Jay Vleeschhouwer: Thank you. Good afternoon everyone. Let me start with a sales channel question. Pascal in your earlier answer you referred largely to what you used to call the BT channel. Could you comment as well on your results and expectations for what you used to call the VS channel? And then some follow-up questions to that. Thanks.
Pascal Daloz : Okay. So, overall, so just for the one who are not familiar with the different channels we have, we have three different channels. The BT is really the direct sales model for us and it accounts for almost half of the revenue. And then we have the other half covered by two indirect channels. One is promoting SOLIDWORKS and the other one is promoting the rest of the portfolio. The one we are talking we are speaking about the VS is really the one which is covering most of the supply chain of the large industry we are covering. So, specifically aerospace and defense, auto sectors, industrial equipment, Marine & Offshore. So, this channel in fact did a lot of progress on the adoption of the 3DEXPERIENCE platform, because that was I would say the major point, right? And they are also doing a good job for the adoption of the cloud. I think we are extremely pleased with what happened since the beginning of the year, because they started all force from nothing a few years ago. Now I will not say, it's becoming the standard, but it's more and more becoming the standard. Overall, the performance is it's, I would say, a little bit better than the mid single-digit growth for the Value Solutions channel, but I think really the most important for us was we need to have all the retailers transforming themselves in order to be able to along with us deploy the 3DEXPERIENCE platform in the entire value network in the large industry we serve, and I think this is really happening. We had a chance to have all of the partner with us a week ago a little bit more than a week ago. And clearly, they are walking the talk. I'm extremely pleased with what I've seen. And the level of commitment and the level of investment is really happening. That's for VS.
Jay Vleeschhouwer: Okay. Great, Pascal. With regard to SOLIDWORKS, a couple of things. Regarding the new units, would it be fair to say that in the second quarter new SOLIDWORKS CAD license volume was down slightly year-over-year and perhaps sequentially as well from Q1? And if so would that have been mostly or entirely due to China? And then secondly more broadly with regard to SOLIDWORKS, could you update us on how 3DX Works. Adoption is going within the SOLIDWORKS space? And to the extent you've had adoption thus far over the last year or more, how are you seeing the average seats per customer adoption versus the three to four average number of seats for SOLIDWORKS itself? In other words, is the SOLIDWORKS or the 3DX Works customer on average deploying more seats of 3DX Works than they are perhaps of SOLIDWORKS itself?
Pascal Daloz : Yes. So let's start with the first question Jay. You're right. But something happened in fact this year, as you may know we increased the prices. And it was I would say a certain level of increase, because it was aligned in some countries with the level of inflation. So what's happened, which is something which is unusual. Usually at least if you look at last year our Q2 was a larger quarter compared to Q1. And this year, it's the opposite. Again, I'm speaking about the number of units. We have a much bigger Q1 than Q2 in terms of number of units. Why so? Because many of our resellers they have anticipated the price increase because it's effective April 1. So that's what's happened. And to give you an order of magnitude for Q1, we were close to 20 -- a little bit more than 20,000 units right? And for Q2, we are roughly 17 -- I do not have exactly the number in mind, but it's 17,000 18,000 units which is against what's happened. So I will not draw the wrong conclusions because to a certain extent, we had more units in Q1 compared to the traditional pattern and we had a little bit less in Q2. That's for the unit. Now for the number of seats. You're right, I mean the vast majority of the customers have between two to three seats of SOLIDWORKS. And when we deploy the 3DEXPERIENCE WORKS family, depending the product line we have a different ratio. If you look at the ENOVIA Works, usually the ratio is roughly 3 times -- between three to four times bigger. If you have two seats at the end, you have 10 seats for the end of the awards. That's in average. For the simulations work, I would say it's probably once -- if you have three or two, you have only one. So the penetration rate is less. And if we are speaking about the manufacturing side and specifically to the DELMIA WORKS, this is really where we have an expansion in terms of number of users. Because you remember with DELMIA WORKS, we are targeting a company in the range of -- not bigger than €200 million of revenue. Having at least two manufacturing sites and usually you have -- I don't know between 30 to 40 people to be equipped, which gives you a sense of ratio between three to 30, if not 15. So this is how we multiply the footprint inside the SOLIDWORKS installed base leveraging the WORKS family. 
Jay Vleeschhouwer : Right. And adding all of that up this year, do you think that 3DX WORKS in totality could be a mid- to high eight figure business in terms of revenue? In other words, a substantial multiple of what it was in 2020 and 2021?
Pascal Daloz: For DELMIA Works, the answer is yes. We had by the way a good performance this quarter at least in is [indiscernible]. For SIMULIA Works depends on the quarter. We had a good Q1. Q2 is a little bit more smooth. And ENOVIA Works is really taking off. This is where we see progressively the traction is coming. I mean it's much more regular. 
Jay Vleeschhouwer: Okay. Finally, a corporate development question. You and I have talked over the last couple of years about your cloud strategy with regard to it being vertically integrated. And with that in mind and particularly given the growth you've now reported for your cloud business including ex MEDIDATA, could you talk about the increase in your cloud infrastructure or your capacity to deliver your cloud services. And how you decide on the expansion of that cloud business? I've heard and maybe this isn't entirely correct that it's more customer-driven locality by locality. You don't necessarily have a global expansion strategy for your own data centers. It's more bespoke let's say as customers circumstantially might need the capacity.
Pascal Daloz: Okay. So, let's start with different questions. If I look again for all the internal usage for example what the research and development they do at Dassault Systèmes, we are relying on our online capacity. So, if I put this aside and I look at only the capacity we are using to serve our customers. We are relatively balanced between 3DX Outscale, our own Infrastructure-as-a-Service and AWS which is the one we are using as an external provider. From a capacity standpoint, I think we still have room to grow because we have invested unfortunately we did it before the shortage of component. Because right now it's relatively difficult to be furnished to receive the materials and the hardware you are ordering. So, we have definitively enough capacity for the rest of the year. I think 2023 we probably need to enrich a little bit the capacity specifically on the storage which is a good sign. It means that people are working extensively with our solutions. Relative to how we expand, you are right, I mean the way we did it we have put the data centers first where we have most of the installed base being located by. And if we have to expand in countries where the footprint is limited compared to the large installed base we have, we do it case-by-case with a certain business case. And it's relatively easy for us. Without less than €5 million revenue committed for the next three years it's better for us to use AWS. If it is more, it's much better for us to set up our own data centers and operate globally the systems. And you remember we have three different offers for the cloud infrastructure. We have the international one which usually you are calling public cloud. But we prefer to call it international because it's really giving the ability to connect everyone from any place around the world and share basically the infrastructure with others. We have really the sovereign one which is the private one when you want to comply with certain regulations of certain tax rules for example. And we have a dedicated when the cloud is on-premise for certain customers for security reasons. And we operate on their behalf the entire infrastructure. That's basically our offer and it's relatively balanced across the different products the different solutions and the different offers we have. 
Jay Vleeschhouwer: Okay. Thank you very much Pascal.
Pascal Daloz: You're welcome Jay.
Operator: We are going to proceed with the next question. And the next question comes from the line of Frederic Boulan from Bank of America. Please ask your question.
Frederic Boulan: Hi, good afternoon. Two questions on my side. Firstly, just to follow-up on the previous question around cloud. Considering the current environment, are you seeing the uncertainties getting your clients to change the preferred way to buy your product and accelerating a little bit the move from a traditional license model to subscription or it's not really changing that behavior. And secondly, if you can give us a quick update on your M&A pipeline in this morning you said we should not expect anything major this year. So, if you can share with us your main priorities or opportunities you see across your different segments and what's driving the timing that seems to be extending versus what you had in mind probably six to 12 months ago? Thank you.
Rouven Bergmann: Okay. Frederic, let me start with your first question around the cloud and subscription. So what we really see right now as I mentioned before, the subscription revenue is growing very fast and recurring overall up 10%. And of course, this includes support revenue, which if you extract that the subscription revenue obviously is growing much faster. MEDIDATA, we said is growing at around 15%. So you can assume that for everything else and MEDIDATA, which is subscription based, we are growing around 20%. So what's really driving this? There -- from a product perspective, we see that 3DEXPERIENCE has a large share of subscription revenue growth, which is larger than license. So we really see, from a growth perspective, we really see that, this momentum is picking up and that more and more of our customers who are using 3DEXPERIENCE are also expanding and shifting with their business model. Of course, this drives our cloud revenue because a lot of the 3DEXPERIENCE installation are cloud-based. So this is how it's connected. From a geo perspective, we mentioned earlier this morning that in the Americas, that cloud revenue and subscription revenue is growing faster than license and this trend is existing since a number of quarters. And we have seen also a stronger subscription revenue growth in EMEA, in Europe, we grew Europe over 13% in software revenue growth. So subscription really grew very strong. So there is more and more a shift towards subscription that's very evident. And I wouldn't attribute it necessarily to the macro environment. I think I attributed more to the preference in terms of the ability to connect to cloud, the ability to expand through all of our domains and really be able to scale up and scale down, which the subscription model nicely allows you to do. So these are for me the main drivers of the growth that we see right now in subscription. Pascal, I don't know if you have any points to add.
Pascal Daloz: No. I think for the question on the cloud, you answer. Coming back to the M&A, few things. First of all, I've always been clear on the timing. We want to be deleveraged before to consider another transformational move. I think and we are not yet fully deleveraged, even if we are close. So I think, it's relatively consistent with what I said. Second thing related to the different opportunity. Again, if we are talking about big move, the move could change the profile of the company, right? That's what we are talking about. When we did MEDIDATA, we have articulated and repositioned the company around the three sectors of the economy. And clearly, we have rooms and opportunity in all the three sectors. If you take the manufacturing space for example, we do a little in the process industries, right. So it's really a room, where we could expand easily. In the Life Sciences & Healthcare, we do a lot in Life Sciences not too much in Healthcare. So it's definitively a domain where we could expand. And Infrastructure & Cities it's -- we are the challenger. So clearly there is a vast majority of opportunity for us to continue to expand. But the most important for you to understand is, if we want to change the profile of the company, we have to be on the right part of the IFWE Loop. Meaning, we want to be on how you capture the usages? How you capture the data? How you extract insight from it? That's really where I think the core is coming. And if you want to understand maybe our potential next move that's basically the way you should look at it. And it's becoming again extremely important for us to be connected activity with the patients, the citizen and the consumer because they are part of the platform, right? They are one of the stakeholders who need to connect to the platform. So this is really where we are. And I think again, we have opportunity in three sectors of the economy as a way to expand what we do not to fill the gap for the revenue growth, right? That's always been what we are doing. 
Frederic Boulan: Perfect. Thanks very much.
Pascal Daloz: That’s it for dividend.
Frederic Boulan: Thanks a lot.
Pascal Daloz: You’re welcome.
Operator: We are going to taking the next question. Please standby.
Beatrix Martinez: It will be the last question. 
Operator: We have the last question coming from the line of Jason Celino from KeyBanc Capital Markets. Please ask your question.
Jason Celino: Great. Thank you for brining me in. On China you mentioned SOLIDWORKS performance was avidly impacted by the lockdown. Were there other segments like CATIA or SIMULIA or other business that has this impact? 
Pascal Daloz: No. In fact not really. I mean the confinement for China was really hurting. First of all, the midsize the mainstream market on both side -- first of all, for the company, unlike what you have in the US or in Europe you do not have some specific measure to help those companies when something is happening. So the government is not putting in place some aids or funding. So clearly those small and midsized companies they are focusing right now their energy to restart their businesses. And this is consuming a lot of their cash and their energy. So that's the reason why from a demand standpoint it was relatively smooth in Q2. And on the supply side if we do not have the ability for our resellers to visit their customers usually the way it's happened in China it's something relatively difficult in terms of how we do business with this type of companies. The rest of what we do is really touching the large own state company or the large international company being based in China. And I think we didn't face the same issues at all. 
Jason Celino: Okay. And then you said return to 8% to 9% for SOLIDWORKS. Some of these lockdowns have been lifted, I guess, when do you think you could return back to that more normal rate? 
Pascal Daloz: We do expect to be back in Q3, right? But despite the fact that as Rouven was explaining we took some cautiousness in the guidance just to avoid to be short. And the cautiousness we took was around 7 million, which is almost the impact we have seen in Q2. So -- but we do not expect to have this being higher for the H2, right?
Jason Celino: Okay. Perfect. Thank you. Thanks for getting me in.
Pascal Daloz: You’re welcome.
Pascal Daloz: Thank you. So I think it's time to thank you for attending this call. And Rouven and I, we are wishing you a good summer break and hope to see you when we will back on the road early September. So have a nice summer. See you soon. Good bye.
Rouven Bergmann: Bye.